Operator: Good afternoon, and welcome to StandardAero, Inc.'s Third Quarter 2025 Earnings Conference Call. I'd now like to turn the call over to Rama Bondada, Vice President, Investor Relations. Please proceed.
Rama Bondada: Thank you, and good afternoon, everyone. Welcome to StandardAero, Inc.'s third quarter 2025 earnings call. I'm joined today by Russell Ford, Chairman and Chief Executive Officer, Dan Satterfield, our Chief Financial Officer, and Alexander Trapp, our Chief Strategy Officer. Alongside today's call, you can find our earnings release as well as the accompanying presentation on our website at ir.standardarrow.com. An audio replay of this call will also be made available, which you can access on our website or by phone. The phone number for the audio replay is included in the press release announcing this call. Before we begin, as always, I would like to remind everyone that statements made during this call include forward-looking statements under federal securities laws. Statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. Such risks and uncertainties include the factors set forth in the earnings release and in our filings with the Securities and Exchange Commission, including in the Risk Factors section of our annual report on Form 10-Ks for the year ended 12/31/2024. We assume no obligation to update or revise any forward-looking statements, whether as a result of new information, future events, or otherwise, except as required by law. Additionally, during today's call, we will discuss certain non-GAAP financial measures such as adjusted EBITDA, adjusted EBITDA margin, free cash flow, net debt to adjusted EBITDA leverage ratio, and organic revenue growth. A definition and reconciliation of these measures to the most directly comparable GAAP measures can be found in our earnings release in the appendix to the earnings slide presentation on our website. Non-GAAP financial measures should be considered in addition to and not as a substitute for GAAP measures. With that out of the way, I'd like to now turn the call over to our Chairman and CEO, Russell Ford. Russ, over to you.
Russell Ford: Thank you, Rama, and thanks to everyone for joining our earnings call today. Before we begin, I'd like to take a moment to wish an early happy Veterans Day to all those who have served and those currently serving in the Armed Forces. I'm proud to say that at StandardAero, Inc., nearly 20% of our domestic workforce are veterans, and we are immensely grateful for their sacrifices they and their families have made through their service. Let's turn to our results beginning on slide three. The third quarter was another strong performance by StandardAero, Inc. We delivered revenue of $1.5 billion, growing 20% year over year, and adjusted EBITDA of $196 million, up 16% year over year growth. This marks another quarter of double-digit top-line and earnings growth driven by demand strength across our end markets and continued operational discipline throughout our business. Within a complex operating environment, our diversified business model across end markets, OEMs, and more than 40 platforms we serve continues to provide us with growth opportunities and resilience, enabling us to perform well through industry cycles. Now turning to our end market performance in the quarter. Our commercial aerospace revenue grew 18% year over year, led by a near doubling of LEAP revenues from last quarter and strong contributions from the CF34, CFM56, and turboprop engine platforms. Our backlog of MRO work remains strong, and the MRO supply-demand environment remains tight globally. We expect this favorable dynamic to continue for the foreseeable future. Business aviation revenue was up 28% year over year, driven by growth across mid and super midsize aircraft. We saw strong growth in our HTF-7000 program, which should continue supported by the successful expansion of our facility. Our military and helicopter revenue grew 21% year over year, fueled by AE1107 engine volumes after the V-22 grounding last year, ongoing strength of our C-130 transport aircraft programs, and the J85 engine, which powers the T-38 trainer, as well as the contribution from our AeroTurbine acquisition. From an earnings perspective, we continue to generate strong high-quality growth. Adjusted EBITDA rose 16% year over year, driven by volume growth, pricing, and mix, particularly within component repair services, where we delivered another record margin quarter. Even as we invest heavily in ramping our newest programs, we've continued to demonstrate double-digit earnings growth and margin resiliency. Our adjusted EBITDA margin was 13.1%, inclusive of some lower margin work scopes and the expected short-term impact of the ramps of our LEAP program in the new CFM56 DFW facility, both of which are expanding at a rapid pace while we come down the learning curve as planned. This result underscores the strength of our overall portfolio design. We anticipate these ramping programs will turn profitable in early 2026 and continue to accrete from there. Starting on the right side of Page four, I'll give some updates on the status of our strategic priorities, which we expect to drive long-term compounding value for our shareholders. We continue to be pleased with the progress of our LEAP industrialization and the outlook for this program. LEAP revenues continue to scale rapidly and are a key driver of our commercial growth. Through the end of the third quarter, we've inducted nearly 50 LEAP engines and expect to complete more than 60 LEAP engine inductions this year. LEAP sales in the third quarter nearly doubled sequentially from Q2. Importantly, the long-term demand outlook for LEAP is getting even more robust with multiple wins this quarter and a large number of sizable opportunities in the pipeline. With our recent wins, our planned 2026 slots are rapidly filling up, and we continue to gain even more confidence that our LEAP revenues alone will reach $1 billion annually in the next few years. Moving to our other growth platform investments. The CFM56 expansion at our DFW facility is also progressing well with strong bookings momentum, including a significant three-year award from a major North American carrier during the quarter. Last quarter, we talked about the expansion of our business aviation facility in Georgia. That expansion is now operational, with the added capacity helping drive significant growth on our HTF-7000 program, where we are seeing strong demand for mid and super midsize business jets and are positioned as the worldwide exclusive independent heavy overhaul provider on this engine platform. We are also pleased to announce today the planned expansion of our MRO facility in Winnipeg, Canada. This facility is home to our CF34 program, where we expanded our license relationship with GE last year. We continue to see outsized demand and share gains on this platform and are adding approximately 70,000 square feet to the facility to capture that growth. This expansion will increase our Winnipeg footprint for both the CF34 and CFM56 programs by more than 40% as well as significantly increase our CRS in-sourcing opportunities. We broke ground on the expansion in September and expect to complete it in 2026. The investment is supported by contributions from the Government of Manitoba, with whom we've been working closely in planning this project, resulting in a total net investment for StandardAero, Inc. in the high single-digit millions. We view this as an attractive and high-return investment opportunity given the long-term contracts we already have in place to fill a large portion of this capacity. Our component repair business continues to execute, delivering record margins this quarter, driving 32% adjusted EBITDA growth year over year. The team is performing well on synergy capture from the ATI acquisition, and we've expanded our portfolio of OEM-authorized LEAP for repairs to more than 450. Additionally, we're now the first non-OEM provider of source-controlled LEAP-1A and 1B fan blade repairs, including structural edge and coating repairs, and have stood up our dedicated LEAP fan blade repair cell at our CRS facility in Cincinnati. Furthermore, our CRS segment was awarded new OEM authorizations on two critical source substantiated fan blade repairs on the CF34-8 engine. We are continuing to expand our portfolio of over 20,000 licensed component repairs, which we expect to drive third-party sales growth and strengthen the synergies between our CRS and Engine Services business. As a result of our continuing strong performance and execution on our strategic priorities, we are raising our full-year 2025 guidance across all key metrics: revenue, earnings, and free cash flow, reflecting our confidence in the fourth quarter and continued strength across both segments. Dan will detail this guidance shortly. In addition, our balance sheet remains a source of strategic flexibility and gives us ample liquidity for both organic investments and accretive M&A. As we move forward, our priorities are clear. First, continue to ramp our growth platforms efficiently. Second, drive productivity and cash conversion across the enterprise. Third, continue expanding our CRS repair capabilities, and finally, investing organically and through acquisition in programs and capabilities that capitalize on our long-term growth opportunities. With that, I'll turn the call over to Dan to discuss our financial performance and outlook with additional detail.
Dan Satterfield: Thank you, Russ. I will begin on Slide five with some highlights from our third quarter results. For the third quarter ended 09/30/2025, we generated revenue of $1.5 billion, up 20.4% year over year, including 19% organic growth. Adjusted EBITDA increased to $196 million for the third quarter, representing 16.1% growth with adjusted EBITDA margins of 13.1% compared to 13.5% year over year, driven by some lower margin Workscope mix and the ramp of LEAP and CFM56 DFW programs as those come down the learning curve, partially offset by record CRS margins. The prior period Q3 2024 included the one-time impact of our liability extinguishment that added $9.3 million to revenue and adjusted EBITDA and boosted margins by 60 basis points. Net income was $68 million, an increase of $52 million versus the prior year period, reflecting higher operating income, reduced interest expense, and lower non-recurring costs. Free cash flow was a $4 million use this quarter, a meaningful sequential improvement but still reflective of a challenging supply chain across various platforms that continues to drive record levels of contract assets in our shops due to specific constrained parts. Importantly, this is mainly a timing issue, and we expect a surge in shipping of completed engines in the fourth quarter, which will unwind a substantial portion of the increase in working capital experienced in the first nine months of 2025. As such, we are confident in raising our free cash flow guidance for 2025. I'll dive a little deeper into cash flow shortly. Now moving into our two segments, starting with Engine Services on slide six. Engine Services revenue increased 21% to $1.32 billion in Q3, driven by the LEAP, CFM56, CF34, turboprop platforms, and the HTF7000 business aviation platform. Engine Services adjusted EBITDA increased 12% year over year with margins of 12.5%, consistent with expectations given some lower margin Workscope mix in the quarter and a substantial growth on the LEAP and CFM56 DFW platforms. Keep in mind that in the quarter last year, Q3 2024, had a liability extinguishment that added $9.3 million to revenue and EBITDA and boosted margins by 70 basis points. Without that one-time gain, Q3 2024 margins would have been 12.8%. So excluding the currently dilutive effect of our growth platforms, we would have had significant year-over-year margin improvement this quarter. As Russ mentioned, we continue to expect both of these programs to become margin positive early 2026 as we move down the learning curve. On to Slide seven, CRS. Component repair services revenue increased 14% to $154 million in Q3. Notable drivers included select military platforms, continued robust demand in our land and marine business for aero derivative engines, which is benefiting from growth in applications like data centers, and strong performance from our ATI acquisition. This was partly offset by the timing of some commercial volumes that moved to the right. CRS segment adjusted EBITDA grew 32% year over year, reaching $54 million. Margins continued to see strong improvement and once again marked a record quarter. We did see some favorable mix in Q3 that we expect to normalize in the fourth quarter, which is reflected in our guidance. And more on this shortly. Now moving to slide eight. Free cash flow for the quarter was a $4 million use, continuing to reflect the impact of increased working capital, which was up $108 million in the quarter tied to key constrained part delays that persist. A significant amount of this working capital increase is purely timing related, driven by parts availability on a number of our platforms, which has been particularly challenging year to date. As a result, we had many engines largely completed and awaiting specific parts before shipment to the customer and invoicing, and thus cash collection. This situation is reflected in our contract assets balance sheet line item, which has increased $300 million over the last twelve months, with a vast majority tied to certain commercial programs. However, the good news is this is purely a matter of timing. The situation is improving, and we expect a significant unwind in Q4. As such, we expect cash flow in Q4 to be exceptionally strong, and we are raising our full-year free cash flow outlook by $15 million at the midpoint from our prior guidance, as we are now expecting free cash flow for the full year 2025 to be in the range of $170 million to $190 million. Along these lines, we also have some additional positive developments to share that will fundamentally improve the quality and sustainability of our margins and cash flow going forward. Over the past year, we have continued to execute on our goal of negotiating structural changes to several long-term customer contracts within our Engine Services segment. Historically, many of these contracts included a substantial amount of zero or low margin material pass-through revenue. Material that sits in inventory and contract assets consumes significant cash and obscures our true operating performance. We have now made meaningful progress renegotiating several contracts that achieved structural changes to reduce or eliminate this pass-through activity. And we expect to see a clear positive impact in 2026. As a result of these contract amendments, we now expect approximately $300 million to $400 million of material pass-through revenue to be eliminated next year. While that will appear to reduce our nominal top-line growth rate at the outset, it will have minimal impact on EBITDA or earnings growth, resulting in higher reported margins that better reflect the true operating performance of these programs. Importantly, these changes will improve our working capital efficiency and free cash flow conversion over time as they take effect through 2026. We'll provide full quantitative 2026 guidance incorporating these impacts when we report fourth quarter results early next year. Turning to slide nine. Our leverage at the end of the quarter improved to 2.9 times net debt to EBITDA and is down 2.4 turns from our leverage at the end of Q3 last year. We expect to continue to delever through organic earnings and cash flow growth with our long-term net leverage target unchanged at between two and three times. At the current level, we have ample balance sheet capacity to conduct organic investments and accretive and strategic M&A. Now to our guidance on slide 10. As Russ mentioned earlier, we are increasing our outlook ranges across all three of our main metrics from our August earnings call to reflect our continued operational outperformance. When we provided initial guidance for 2025 back in March, we expected 12% year-over-year revenue growth and 13% year-over-year adjusted EBITDA growth at the midpoints. Our new guidance calls for 14.5% revenue growth and 16.5% adjusted EBITDA growth at the midpoint. Expressed differently, we have increased our full-year guidance relative to our initial outlook by 350 basis points for adjusted EBITDA growth. This has come about despite the challenging 2025 supply chain environment we have referenced several times on this and prior calls. We now expect 2025 Engine Services revenue of $5.27 billion to $5.31 billion, which at the midpoint implies a 14% full-year growth rate. For our Component Repair Services segment, we now expect 2025 revenue of $700 million to $720 million, which at the midpoint translates to a 20% growth rate. On EBITDA, we have adjusted our 2025 Engine Services segment adjusted EBITDA margin guidance to 13.2% and are raising our 2025 component repair segment adjusted EBITDA margin from about 28.3% to 29%. This drives an increase to our total company 2025 revenue guidance to a range of $5.97 billion to $6.03 billion. Our 2025 adjusted EBITDA guidance increases to a range of $795 million to $815 million. As I mentioned before, we are also raising our free cash flow guidance for the year to $170 million to $190 million as we are confident in our Q4 cash generation as earnings continue to grow and working capital unwinds. With that, I'll now turn it back over to Russ to wrap things up.
Russell Ford: Thank you, Dan. This call marks an important milestone for us as we recently completed our first full year as a publicly traded company last month. We continue to be pleased with the performance of the business, which is well ahead of the targets we set in advance of the IPO. And we're optimistic about the prospects for StandardAero, Inc. through this year and into the future with a positive market backdrop and the continued relentless focus on execution that's been a hallmark of our business since it was founded one hundred years ago. That concludes our remarks for Q3. And with that, operator, we're now ready to move to the Q&A session.
Operator: Thank you. We will now be conducting a question and answer session. So that we may address questions from as many participants as possible, if you have additional questions, you may requeue, and time permitting, those questions will be addressed. One moment please while we poll for questions. Our first question comes from the line of Michael Ciarmoli with Truist Securities. Please proceed.
Michael Ciarmoli: Hey, good evening, guys. Nice results.
Dan Satterfield: Thanks, Mike.
Michael Ciarmoli: I'm not sure Russ or Dan, think I heard this LEAP, are we now targeting $1 billion in revenues next couple of years? I think the previous target was 2030.
Russell Ford: Yes. In the next few years, meaning towards the end of the late 2029, 2030 timeframe.
Michael Ciarmoli: Okay. So still there, no change.
Russell Ford: No change. But as we approach '26, '29 starts getting a lot closer.
Michael Ciarmoli: Got it. Yes, makes sense. And then just the confidence level on the cash flow. I mean, you mentioned the contract assets with receivables and inventory up $185 million sequentially. What are the parts that are causing the choke points there? Do you already have them in stock? I mean, raising the free cash flow guidance, I guess you've got good line of sight and confidence there?
Russell Ford: Yes, we do. Listen, first of all, Q3 would have been at my sort of my expectation level if it weren't for about a dozen engines that just slipped into Q4 in terms of shipment, and all of that is really due to the constrained parts, specific constrained parts primarily around forgings and castings. As a result, we have a line of sight on the engines that we'll ship in Q4 and result in that outcome. We're seeing the depth of delay on some of these constraint parts get better. Matter of fact, that's been the core issue all year. Is even though on-time delivery might be improving for the OEs, on certain constrained parts for me, the depth of delay got worse. So as that begins to improve, it's just a few parts on several hundred engines that result in the cash flow improvement quarter over quarter.
Michael Ciarmoli: Got it. Helpful. Guys. I'll jump back in the queue.
Russell Ford: Sounds good. Thanks, Mike.
Operator: Thank you. Our next question comes from the line of Ken Herbert with RBC Capital Markets. Please proceed.
Ken Herbert: Yes. Hey, good afternoon. Nice results. Maybe Dan or Russ, the adjustments you've made to some of your long-term contracts, which obviously I think you called out $300 to $400 million of revenues eliminated next year at zero margin. Do you see all of that benefit in 2026, or how much of that maybe then bleeds into 2027 as well?
Russell Ford: Yes, most of it happens in 2026. So it starts to feather in. First of all, contracts change. I've also got to burn down existing inventory. But we believe over these contracts, the $300 million to $400 million accrues as a reduction of revenue year over year in 2026.
Ken Herbert: Okay. That's great. And can you remind us what's the backlog on your LEAP business? I know you've called that out in the more recent quarters. And is there a reason maybe you're not giving an hour? Can you give us an update on that?
Russell Ford: Yes. During the quarter, Ken, I we reported last time that we were a little over $1 billion in backlog, and we're seeing about 5% growth this quarter.
Ken Herbert: Great. Thanks, Russ. I'll pass it back there.
Russell Ford: Thanks, Ken.
Operator: Thank you. Our next question comes from the line of Gavin Parsons with UBS. Please proceed.
Gavin Parsons: Thanks. Good evening.
Dan Satterfield: Hey, Gavin.
Gavin Parsons: Just wanna go back to supply chain for a second. What unlocked there? Is your sense that that's sustainable? Or was that just kind of a surge or reallocation of parts maybe?
Russell Ford: Amongst customers? I don't think it's going to be a surge of parts. During the year, I had this depth of delay on the constrained parts. That really got bad over the summer. We're seeing these constrained parts, and they really are the smallest part of our supply chain. That's holding up these very large dollar values of, in particular, contract assets. So you'll see that the contract assets unwind as these come in. It's forgings and castings, it's the same characters. And so it is true that the supply chain overall is getting somewhat better. But if it doesn't get better on my constrained parts for StandardAero, Inc. engines, sitting in the shop, engines don't ship. We are seeing that occurring now. Matter of fact, there is a discrete list of engines with ship dates on them that makes us pretty confident that all of this will unwind. This is an important part of our measurement system. Because people tend to focus on the measurement of on-time delivery. But on-time delivery only tells part of the story. You really do have to look at a second-order measure, which is what we call depth of delay. A lot of other companies use that same terminology. And the reason for that is because if you are two days late versus two months late, that's a big difference. But in the on-time delivery measure, they both count the same. So your on-time delivery may not be changing or may move one point. So you have to look to the next, the second order, which is your depth of delay. And if you see the delays that were thirty days, now becoming seven days and five days, then that gives you confidence that the supply chain in fact is getting closer to supporting the actual line flow that we need that we use for our forecasting. So that's what gives us confidence. We saw the depth of delay actually increase over the summer and then it started drawing back. So we feel comfortable that the supply chain is in fact improving even though we've not seen all of those parts flush completely through to us, we have good line of sight.
Gavin Parsons: Great. I appreciate the detail. I guess speaking of days, when you think about long-term cash flow conversion, do you guys have a target DSO? And how much cash is this one day?
Russell Ford: Yeah. I mean, we're gonna, you know, we've said before, we're gonna be an 80% to 90% free cash flow conversion company on net income. And that hasn't changed. Let's DSO, if that's what you're referring to, is not the driver. We get paid on time. DSOs are great. Terms are typically you'd expect in this industry. That's not the issue. It really is related to the supply chain. On a ton of demand but supply chain as it relates to some specific constraint parts. That's what the as that gets better over time, that will be the trigger for sustainable cash flows at the levels I'm talking about.
Dan Satterfield: Thank you.
Gavin Parsons: Thanks, Gavin.
Operator: Thank you. Our next question comes from the line of Myles Walton with Wolfe Research. Please proceed.
Myles Walton: Hey, good evening. I was wondering if you could start with CRS and the revenue outlook would was trimmed at the top end. Was that an internalization of the sales? That any deterioration in the core outlook?
Russell Ford: I didn't understand the first part. There's not a deterioration in the core outlook. If you're asking about in-sourcing.
Myles Walton: 700 to 720, right.
Russell Ford: No, I mean, listen, it's a lumpy business. We're really excited about a lot of the growth we're getting in particular from the ATI acquisition. Land and Marine had a fantastic quarter. So did the GTF leap revenues were up really strong. As a lot of that work is getting in-sourced. And the military platforms are great. On the accessory side and the commercial side, it's lumpy. And it's kind of the same issue that we have on the MRO side of our house. Remember my third-party customers for CRS business are MRO operators themselves. And when they see constrained parts issues, that bleeds into their demand for component repair services as well. So a lot of the dynamics that my MRO customers are having with supply chain issues, are the same issues that flow through to CRS. But no, we're very bullish about the business. It grows strongly. Insourcing activity is up. Like I said, a lot of the play this business has 20,000 authorized repairs. And to Russ' point, that's growing rapidly. No concerns here over the medium term.
Myles Walton: Okay. And the $300 million to $400 million reduction in sales from not having to pass through. Can you translate that to a benefit explicit on cash that you don't have to hold or maintain? Is there a direct working cash liquid that you have in 2026 as a result?
Russell Ford: Yes. It does have a free cash flow benefit. And by the way, like personally, I'm super excited that we're making progress on this. We've been talking about this for a long time. The material pass-through overhang depressing our margins. And now we're beginning to show the true underlying margins of the ES segment. How does it benefit cash flow? It will feather into 2026 as the existing inventory winds down. And then the real benefit we'll see the significant benefit we'll see is in 2027. There was a fair amount of discussion about this during the run-up to the IPO, Myles. And we view this as we talked about this and in my opinion, is promises made, promises kept. We said we were going to do this. And in we've made very good progress. And like Dan said, moving this kind of revenue away from the balance sheet, it helps to illuminate the true financial and operational performance of the underlying business. And that's exactly why we've done it.
Dan Satterfield: Yes. No, I completely concur. Makes a ton of sense. Is there platforms or customers specifically who are more interested in this than not?
Russell Ford: I wouldn't say that. It's been a theme in a lot of the contracts that have been put in place over the last fifteen years. And so really there's for this as these contracts come up for renegotiation and renewal. And we're viewing this as something that we can pursue across all of our various customers. It's not just limited to one or two.
Myles Walton: Okay. All right. Thanks so much.
Dan Satterfield: Thanks, Myles.
Operator: Our next question comes from the line of Kristine Liwag with Morgan Stanley. Please proceed.
Kristine Liwag: I just wanted to follow-up on your discussion on the supply constraint parts. So in regarding your visibility, like how much visibility do you have that you're going to these parts available to you this year and also look next year when we look at the industry, demand from the OEs continues to go up, aftermarket is also very strong. Are you looking at your procurement process a little differently to make sure that you can have access to these parts?
Russell Ford: First of all, visibility is strong for Q4. Otherwise, wouldn't be raising my raising guidance on cash flow. So we feel really good about those engines shipping. What will we do differently in the future? Yes, you should. We are making some supply chain changes. As it relates to constrained parts ordering those differently. However, I'll tell you Kristine, these constrained parts can change. Quarter to quarter. If you've looked into it into these forgings and casting suppliers, it can change quarter to quarter. What exactly the constraint is. But I'm confident that we'll have our Q4 cash flow. Improvement and we will have strong cash flow next year.
Kristine Liwag: Great. Thank you very much. And following up on the LEAP engine, you've now done quite a few of these engines going through your shop. Can you provide some qualitative or any sort of quantitative information regarding what you've learned so far, how the processes versus what you had planned? And when you think about the potential cost reduction you could have over time in servicing these engines? Are there areas that have stood out to you so far?
Russell Ford: Yes. Thanks. Good question, Kristine. Still we're still in low rate initial production. We're kind of in our first year of full production. So we're coming down a learning curve very quickly. We are learning lots of things. At the front end of the business, the backlog is really strong. The RFP environment is very busy. We're getting more than our fair share of wins here. And what we're beginning to see is more PRSV full performance shop visits, versus the early on, it was very heavily biased towards C TIM, hospital visits, lower work scope visits. So the fuller work scopes are now beginning to come through. That's important because it's really those engines that advance us down the learning curve and give us the full cycles of learning. Early on, we said that our experience with a new platform like this typically we start reaching an equilibrium state after about three years. And we are one year into it and we are coming down the learning curve exactly as anticipated. And that's why the second year, which will be next year, you'll see these things become margin positive. And then in the third year, you'll see these things start approaching accretive levels at the enterprise or the company level. So we're happy with the progress that we're making. As we come down learning curve, the other impact that has is it creates more capacity for us. We're not we don't have to spend as many hours on a set work scope and that gives us essentially free capacity. So no surprises. We're actually quite happy with how this program is progressing.
Kristine Liwag: Great. Sounds good. Thank you very much.
Dan Satterfield: Thanks, Kristine.
Operator: Our next question comes from the line of Seth Seifman with JPMorgan. Please proceed.
Seth Seifman: Thanks very much and good afternoon. Wanted to check-in on the Engine Services. Is anything you could say with regard to the mix in Q4? It looks like we'll see the margin rate step kind of back up above 13% but fairly big revenue quarter, based on your comments on LEAP, it seems like LEAP is growing pretty quickly. So just in terms of the ability to kind of see that uptick in the sequential margin? Is there any kind of mix element to that you point out?
Russell Ford: Yes. Thanks, Seth. First of all, quarter for Engine Services. If you look at excluding that prior period item, and excluding the effect of the ramp, margins at ES actually accreted 70 basis points year over year in the quarter. So fantastic. In Q4, we're going to see better mix out of some of our platforms. Primarily on the biz app side and some of the military programs. LEAP is LEAP and CFM56 both of those programs as they grow they're growing at 0% margins. And that'll be the case until early 2026. And we feel really good about those turning into positive margins in 2026. Then marching their way up the learning curve. So super excited about that. But quarter over quarter, we're going to see benefit in, like I said, some of the mix on some of our platforms. In military and biz app.
Seth Seifman: Okay, okay, great. And then really just more of a clarification on the last part. I think you'd said earlier that you expect to see just about all of the $300 to 400 million impact of changes in contract terms in 2026, but also that they would feather in as inventory on those particular contracts and as your work on the existing contract winds down. Does that mean there's a stub that's left to affect 2027 revenue and margin?
Russell Ford: Yes, right. So what happens is the cash impact doesn't come as fast as the earnings revenue impact. Because I've got different turns on each of these engine platforms. They all turn differently. So that's one. Two, I'm going to burn down my current inventory on hand. And so you'll see the cash impact begin at 26% and get really strong at 27%.
Seth Seifman: Okay. But no more revenue and margin impacts beyond 2020? Yes. So great question, Nob. Thanks for clearing that up.
Russell Ford: It is a one-time impact. So you reset the level with these particular contracts to lower material pass-through and then you're done. Then you go forward on a normalized run rate. Yes. You don't recreate that in your forward contract.
Dan Satterfield: Right.
Russell Ford: But the margin, of course, margin benefit is ongoing.
Dan Satterfield: Right. Yes, resets.
Seth Seifman: Okay, great. Thank you very much.
Russell Ford: Thanks, Seth.
Operator: Thank you. Our next question comes from the line of Sheila Kahyaoglu with Jefferies. Please proceed.
Sheila Kahyaoglu: Good afternoon, guys, and thank you for the time. If you could talk about Business Aviation, it just drove some of the guidance revenue increase across end markets. How do we think about what surprised the upside? How much of the 7,000 capacity is now at full run rate? And how do you think about the growth of that business going forward in 2026?
Russell Ford: Yes. Thanks, Sheila. We're actually quite excited about that particular end market. You look at flight hours for biz av, they continue to increase. And if you look at the concentration of where those flying hours are, they're in the larger aircraft. Which is where we're at on many of the engines that we work on, in particular the HTF 7,000, where we've got the best position as being the worldwide independent holder of that license along with Honeywell. And we're seeing those aircraft platforms are just as fast as they can be built. And the flying hours are continuing to go up. So that's why we saw that coming and we've experienced that over the last couple of years as the embedded base for the HTF-7000 continues to grow. And that's why we made the investment developed program with the state of Georgia and the Economic Development Council to expand the facility there in Augusta where our HTF 7,000 engine shop is at primary one. And we opened that new facility just a couple of months ago and it's pretty much full already. So it's allowed us to take on more aircraft as well and bigger aircraft, which generally have bigger work scopes as well as more of those HTF-7000 engines. And this engine is going to be the predominant biz av engine you're going to see in the market for the next twenty or thirty years. So we're excited that we're on the front end of this thing. We've moved quickly. We have a really strong, unique exclusive position on this program. And overall, our Business Aviation Group is out in front of this and the relationships we have with our customers are excellent. We're able to bring in new customers on the larger aircraft like Gulfstream class aircraft. That we really just we had limited access to before because of the facilities. But now that we've opened up that additional capacity, gives us access to the fastest growing portion of that end market. Yes. Just to clarify, we were just down on the Augusta facility just a couple of weeks ago. So the airframe shop is full, right? It's full of these super midsize jets. The engine shop is ramping, right? So that's what's going to provide the strong revenue growth in 2026 and beyond. Is the engine shop ramping up. So there's a lot of pent-up demand there that we're now going to be able fully advantage of.
Sheila Kahyaoglu: Can I just ask one more follow-up on the cash flow? Is that possible? Just to better understand the contract adjustments? Why would an airline engine OEM agree to this change? And how does that, like, pass-through change you know, work, guess, and impact the free cash flow?
Russell Ford: Yes. Sure. So, it's really no difference if not some advantage to the operator. Right? So the operator today purchases the material from the OE through StandardAero, Inc. with a small handling figure. And we talked about that before, right? Low single-digit margins on this. So that'll go away that incremental profit that I'm getting and they will work directly with the COE, which really for the end customer is no change to a positive impact for them. So it's hasn't been it's a long negotiation, but it's not it is value accretive to the end customer for sure.
Sheila Kahyaoglu: Got it. Thank you.
Dan Satterfield: Thanks, Sheila.
Operator: Thank you. Our next question comes from the line of Jordan Lyonnais with Bank of America. Please proceed.
Jordan Lyonnais: Hey, good afternoon. Thanks for taking the question. Wanted to just touch on the M&A pipeline. I know you guys have said it's robust. So where are you looking to supplement the portfolio now? And what are you seeing for valuations?
Alexander Trapp: Yes. It's the same this is Alex, by the way. It's same as in past quarters where there's a lot out there. And we're evaluating everything we see and just waiting for the right one to jump on. So no change really. There continues to be quite a few things out there. Just a very fragmented industry with a lot of different opportunities and not everyone is a perfect fit.
Jordan Lyonnais: Got it. Thank you.
Dan Satterfield: Thanks, Jordan.
Operator: Thank you. There are no further questions at this time. I'd like to pass the call back over to Russell for any closing remarks.
Russell Ford: Thanks, Alicia. I appreciate everybody's continued support. We're real happy with the progress. Looking forward to a strong full year here and real happy to be part of your public market coverage. And StandardAero, Inc. will continue to deliver as promised. So thanks, everyone. Appreciate your continued support. That is all.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.